Operator: Good afternoon, and welcome to Savers Value Village Conference Call to discuss Financial Results for the Third Quarter Ending September 28, 2024. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Please note that this call is being recorded and a replay of this call and related materials will be available on the company's Investor Relations website. The comments made during this call and the Q&A that follows are copyrighted by the company and cannot be reproduced without written authorization from the company. Certain comments made during this call may constitute forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from expectations or historical performance. Please review the disclosure on forward-looking statements included in the company's earnings release and filings with the SEC for a discussion of these risks and uncertainties. Please be advised that statements are current only as of the date of this call, and while the company may choose to update these statements in the future, it is under no obligation to do so unless required by applicable law or regulations. The company may also discuss certain non-GAAP financial measures. A reconciliation of each of these non-GAAP measures to the most directly comparable GAAP financial measure can be found in today's earnings release and SEC filings. Joining from management on today's call are Mark Walsh, Chief Executive Officer; Jubran Tanious, President and Chief Operating Officer; Michael Maher, Chief Financial Officer; and Ed Yruma, Vice President of Investor Relations and Treasury. Mr. Walsh, you may begin the conference.
Mark Walsh: Thank you, and good afternoon, everyone. We appreciate you joining us today. Let me start by giving you a few highlights of our third quarter performance and then talk about the things we're doing to drive the business forward. The overall trends we saw in the third quarter were within the range of our expectations. Our U.S. business remained steady and continued to generate positive comp sales growth, driven by increases in both transactions and average basket. Our Canadian business continues to be impacted by the challenging macro environment with comp sales trends softening further early in the quarter for modestly improving more recently. We opened nine new stores in the quarter, and we are on track to deliver against our target of 29 new stores this year. We also gained momentum on our new store opening plans for 2025. As a class, our new stores continue to perform well with sales and earnings that exceeded our expectations. We also continued to see solid growth in our loyalty program with double-digit percentage growth in active members in both the U.S. and Canada over the last year. Loyalty members accounted for 72% of our total sales in the quarter, up from 70% last year. Finally, the resilience of our business model allowed us to generate $82 million of adjusted EBITDA in the quarter, or more than 20% of sales. The macroeconomic environment in Canada remains challenging with 6.5% unemployment and a rising cost of living that is especially hard on low-income consumers. While these factors have a lot to do with the sales trends we are seeing in Canada, we are not satisfied with our performance there. We have been actively testing different approaches to improve our Canadian business, particularly in the areas of selection and pricing. In our business, selection is a function of donations, processing levels, and the product we put on the floor. We know that fresh new product is an important driver of the business, but at the same time, we strive to align our processing and inventory levels with demand trends. Late in the second quarter and through the first two months of the third quarter, we pulled back on processing levels in response to softer demand in Canada. It's always a balancing act. But in hindsight, we believe we pulled back too far, which caused our sales trends to decelerate further. We began rebalancing at higher levels of production in September, and since then we have seen modest improvement in our Canadian sales trends as a result. On the pricing side, we continue to test a number of different pricing and discounting approaches. We believe our overall value proposition is strong. That said we recognize we have opportunities to sharpen price points in select categories and markets and believe this could help drive stronger sales. We continue to closely monitor this in the context of the competitive and macroeconomic landscape and make further adjustments as necessary. We are acting nimbly to navigate this challenging Canadian macroeconomic environment. We will continue to deliver a strong consumer value proposition while remaining focused on driving consistent and profitable long-term growth. While we continually work to optimize selection and pricing in the short-term, we are also thinking about longer-term opportunities to better utilize data and technology to drive further improvements. In both the U.S. and Canada, we've built a culture of innovation with successful deployment of centralized processing, automated book processing, and self-checkout. These capabilities are now firmly embedded in our business. By the end of this year, centralized processing will support 67 stores, automated book processing will support 160 stores, and self-checkout is rolled into nearly all of our stores. We believe these kinds of innovations will help us drive long-term profitable growth. This quarter marked the beginning of what we expect to be a long-term new store growth era for our company. We opened nine new stores. We will open nine more in the fourth quarter. We also made additional progress in our new store expansion plans for 2025, and we now expect to open 25 to 30 new stores, a further acceleration from our previous outlook. Thrift is still highly fragmented in an emerging sector, particularly in the U.S. We are significantly underpenetrated in our existing U.S. markets and have virtually no presence in major regions such as the South and the Southeast. Roughly 60% of our new store openings in 2025 will be in the U.S., and that percentage will continue to grow over time. Overall, we expect new stores to be the primary driver of high single-digit total annual sales growth over the long-term. Critical to accelerating our new store growth is the expansion of our off-site processing capabilities. Our network of central processing centers and off-site warehouse facilities enable us to open stores in locations that for various reasons can't support on-site processing. This has proven to be a critical unlock for our new store growth plans with more than half of our new stores going forward expected to utilize some form of off-site processing. As we continue to run more volume through this network and gain operational efficiencies, the cost per unit is declining. We expect this trend to continue, enabling more profitable long-term growth and making off-site processing an even more important competitive differentiator for us. I'm especially pleased that we were able to make such great progress against our strategic growth plans even as we continue to navigate a challenging economic environment in Canada. We delivered an adjusted EBITDA margin above 20%, which speaks to the resilience of our business model and our team's disciplined focus on execution. I am convinced our experience managing through this environment is making us a more dynamic company, which will serve us well as we enter a new phase of growth. In closing, let me thank our more than 20,000 team members for their work and dedication to the Savers family. Together, we are executing the business, controlling what we can control and investing in our future. We know we have a tremendous opportunity in front of us, and I am more confident than ever in our long-term growth prospects and in our mission to make secondhand second nature. Now I'll hand the call over to Michael to discuss our financial performance and the outlook for the remainder of the year.
Michael Maher: Thank you, Mark, and good afternoon, everyone. As Mark indicated, the overall trends that we saw in the third quarter were in the range of our outlook. The U.S. remained steady and sales were in line with our expectations. Canada was a little weaker than expected, with sales at the lower end of our range. We opened nine new stores during the quarter, and we are on track to open 29 new stores for the year. We also effectively managed our costs and delivered an adjusted EBITDA margin of greater than 20% despite top line headwinds, further demonstrating the resilience of our financial model. Turning now to the income statement. Total net sales increased 0.5% to $395 million. On a constant currency basis, net sales increased 1.2% and comparable store sales decreased 2.4%. In the U.S. net sales increased 6.2% to $212 million and comparable store sales increased 1.6%, driven by growth in both transactions and average basket. In Canada, net sales declined 7.1% to $152 million and comparable store sales declined 7.5%, primarily driven by declines in transactions. A timing shift in the Canada Day holiday negatively impacted Canadian comparable store sales by approximately 100 basis points. Cost of merchandise sold as a percentage of net sales increased 300 basis points to 43.3%, with the increase reflecting the impact of new stores and deleverage on lower comparable store sales. As a reminder, our new stores typically open at roughly half of their mature sales levels, resulting in lower profit margins in their first few years. As we accelerate our growth, new stores will be a headwind to profit margins in the short to medium term. However, this headwind will subside and become a tailwind as a growing number of new stores work their way up the maturity curve. New stores typically achieve profitability by year two. More importantly, investments in new stores are the highest returning use of our capital, generating returns well in excess of our cost of capital. As Mark indicated, we've made further progress on our store opening plans for 2025, and we now expect to open 25 to 30 new stores next year. Our 2025 new store opening plan will be more balanced throughout the year versus 2024's back end weighted opening cadence. Investments in off-site processing are also impacting our cost of merchandise sold. Off-site processing entails additional activities and costs, including freight and overhead, resulting in pressure on our profit margins when we open a central processing center or other off-site facility and work through the initial ramp phase. As we increase throughput and improve productivity in these facilities, the cost per unit is declining. In our most mature CPCs in the U.S. and Canada, cost per unit is approaching the level of in-store processing. Our total cost of merchandise sold per pound processed was $0.65 in the third quarter compared to $0.64 in the third quarter last year. Salaries, wages and benefits expense was $74 million. Excluding IPO-related stock-based compensation, salaries, wages and benefits as a percentage of net sales decreased 70 basis points to 16.6%. The decrease was driven primarily by lower incentive compensation expenses. Selling, general and administrative expenses as a percentage of net sales increased 50 basis points to 21.3%, primarily due to new stores and preopening expenses, partially offset by continued expense discipline. Depreciation and amortization increased 9% to $17 million, reflecting investments in new stores, central processing centers and automated book processing systems. Interest expense decreased 17% to $15 million due to reduced debt and lower average interest rates. GAAP net income for the quarter was $21.7 million, or $0.13 per diluted share. Adjusted net income was $25.1 million, or $0.15 per diluted share. Third quarter adjusted EBITDA was $82 million; and adjusted EBITDA margin was 20.8%. U.S. segment profit was $43.8 million, down $8.5 million versus last year due primarily to new stores and preopening expenses. Canada segment profit was $45.4 million, down $11 million versus last year, primarily due to comp store sales declines, new stores and preopening expenses. Turning now to capital allocation. We remain committed to a disciplined approach that funds our growth and strengthens our balance sheet. As our business continues to generate strong cash flow, we will continue to repay debt and be opportunistic in returning capital to shareholders. We remain on track for 29 new stores this year, and we expect operating cash flow to be more than sufficient to fund our capital expenditures. Our balance sheet remains strong with $138 million in cash and cash equivalents and a net leverage ratio of 2.1 times at the end of the quarter. We repurchased approximately 1.8 million shares of our common stock during the quarter at an average price of $9.86 per share. As of the end of the third quarter, we had approximately $29 million remaining on our share repurchase authorization. Finally, let me discuss our updated outlook for 2024. Based on our third quarter results and the continued macroeconomic headwinds in Canada, we are narrowing our outlook ranges for the full year to the following: Total net sales to a range of $1.53 billion to $1.54 billion; comparable store sales to a range of down 1% to flat, with the U.S. up low single-digits and Canada down low- to mid single-digits; net income to a range of $44 million to $49 million; adjusted net income to a range of $81 million to $86 million and adjusted EBITDA to a range of $290 million to $300 million. Our full year 2024 outlook remains unchanged for new store openings. We are still expecting a total of 29 new stores this year, which includes 22 organic openings and the seven acquired 2 Peaches locations. We closed two stores with expiring leases in the third quarter, bringing net new store growth for the year to 27. Finally, capital expenditures are planned in the range of $105 million to $115 million. Just a few final details: our outlook for net income assumes an effective tax rate of approximately 34%. And based on our share repurchase activity to date, we are now projecting weighted average diluted shares outstanding to be approximately 167 million for the full year. This does not contemplate any potential future share repurchases. This concludes our prepared remarks. We would now like to open the call for questions. Operator?
Operator: Thank you, sir. [Operator Instructions] First, we will hear from Matthew Boss at JPMorgan. Please go ahead.
Matthew Boss: Great. Thanks. So maybe to kick off, Mark, could you elaborate on the progression of same-store sales trends that you saw in the third quarter and maybe just trends that you've seen so far in October, early November in the U.S. and Canada?
Mark Walsh: Hey Matt, yes, the trend in both Canada and the U.S. improved from July through September, and that trend has continued into the early fourth quarter.
Matthew Boss: Great. And then, Michael, maybe from a bottom line perspective, could you help break down drivers of the third quarter gross margin contraction? Maybe how best to think about puts and takes in the fourth quarter? And just as we look forward, if there was a way to kind of think about maybe the profile for same-store sales, if it's low single-digit same-store sales, how best to think about year-over-year margin profile maybe in next year relative to multi-year?
Michael Maher: Yes, Matt, you got it. So let me try to take those in order here. So gross profit margin deleverage in the third quarter, really two drivers, its new stores and it's deleverage on the lower comp sales. And so just as a reminder on new stores, when we open those we're roughly half of our mature sales levels. And so we don't have the same level of gross profit or net EBITDA profit. Now the stores do grow rapidly. They are typically profitable by year two, but that is a temporary headwind when we open the store. The good news, I would say on third quarter is we talked about this a little bit last quarter, but our investments in off-site processing are really starting to be mitigated by the improvements that we're making in the cost per unit of the existing ones. So at this point in our most mature CPCs in both countries, the U.S. and Canada, the cost per unit is now approaching parity with in-store processing. And therefore, we're at a point where our total blended cost of merchandise sold per pound that we processed during the third quarter was $0.65 this year versus $0.64 last year; so really pleased with that. Now as we make additional investments in off-site processing, again, that will be a temporary increase related to that particular facility, but that will continue to be mitigated as we drive improvement in all of the existing facilities. As far as the fourth quarter, similar trends, we do expect deleverage again in the fourth quarter due to new store openings. And the degree of that deleverage just really depends on how our sales play out relative to that guidance range. So if you think about the low end of our range, it would assume overall deleverage versus LY that's pretty similar to what we saw in Q3. And at the higher end, we would have less deleverage because better sales would help mitigate that new store impact. And so at the higher end, it's more like it's about 100 basis points less deleverage than we had in Q3. So to your last question, Matt, about the long-term algorithm and the margin profile, look, I think when we're at a steady state of growth, a low single-digit comp is sufficient for us to maintain an EBITDA margin from one-year to the next. But we are just now embarking on the beginning of this growth phase. And that has implications, right? So as we – as I just talked about with the dynamics of new stores and the way they open up. And so it's not going to be a straight line. I think that the long-term algorithm that we've discussed, we still believe in high single-digit total revenue growth, low single-digit comps, and growing EBITDA consistently with revenue, but it's not a straight line. In the near to medium-term, as we're accelerating the new store openings, we're going to have some headwinds. And given the back half weighted nature of our openings here in 2024 and the fact that we're now opening up to 30 next year those headwinds will likely continue into 2025. But as we round the corner into 2026, we will have a significant number of young stores that are beginning to mature, that are reaching their second year, that are profitable and starting to provide a powerful tailwind and helping us deliver on that long-term algorithm.
Matthew Boss: Great colour. Best of luck.
Mark Walsh: Thanks Matt.
Michael Maher: Thanks Matt.
Operator: Next question will be from Brooke Roach at Goldman Sachs. Please go ahead, Brooke.
Brooke Roach: Good afternoon and thank you so much for taking our question. Really appreciate it. Mark, I was hoping you could elaborate on the tests that you're doing to improve the performance in the Canadian business. Were those idiosyncratic tests the primary driver of the improvement in the comp as you move through the quarter? Are those tests showing EBITDA profit margin improvement as a result of some of these revenue drivers? And is this something that you think you can copy over to your U.S. business to sequentially accelerate results there as well?
Mark Walsh: Yes. Thanks, Brooke. Great question. So as we think of – let's start with the tests and what we did over the last six months. We tested several promotional and pricing strategies to spur demand, promotional cadence, promotional rate we did some episodic sale events outside of our planned marketing calendar. We actually in one store we did wholesale price reductions throughout the soft part of the business. And then the last test was the strategic price reduction by category and grade. And as we looked at those tests and the results, we're most encouraged by the strategic price reductions by category and grade. And look, obviously, retail is a dynamic business. This year and in tandem with those Canadian tests, we have invested in some new tools and processes to monitor our consumer proposition relative to the perceived price value and that perception versus our competitive set. Through this process, look we don't believe wholesale changes to our price points are warranted. However, we have identified and executed in this test very targeted changes in selected categories and grades where we felt competitive pressure. And as I stated, we were encouraged by the results relative to the control groups that we put in place. As we roll out these tools and those associated processes that I mentioned that accompany those tests, we will in fact be adopting this approach throughout North America in early 2025. We're really excited about that. So why now? We've always been mindful of this competitive pricing landscape. And look, some local competitors have executed a more aggressive pricing philosophy, necessitating our acceleration into this investment in the tools and the process that I alluded to. But by sharpening our pricing approach, along with rebalancing processing, which I think was really the more influential factor in that improvement of trend line throughout the quarter at this point, we believe and we're talking about Value Village Canada, we believe Value Village Canada shows up better to our consumer and is optimized really for us for market share stability and growth. So I think from an impact perspective short-term, the Canadian macros is still bulk of the issue. We don't expect a material impact to the fourth quarter based on these test results. This is about select geographies, categories and grades in response to some competitive pressures we're seeing in specific markets, not wholesale changes to our pricing. But, look, regardless of the outcome, we are much more attuned to what is happening competitively around pricing. We're going to be much more proactive in adjusting price and delivering a sharper value consumer proposition, not just in Canada, but in North America in general. And look, I do think at an average unit retail of US$5, we still – we continue to offer tremendous value.
Brooke Roach: Great. Thanks for the colour. And then, Mike, can you comment on the early margin implications of some of these tests? Or is it still too early to tell?
Michael Maher: Yes. We're not expecting significant implications to either sales or margins in the fourth quarter. We were encouraged, but what I would say is that you saw the implications of lower comps in Canada in the third quarter. The vast majority of our costs – our cost of goods, I should say, are labor. And so it benefits us, our model benefits when we deliver a healthy sales yield and so we are pleased with the metrics that we saw in these tests to sales. We think it is possible to do that without compromising margin over the long-term, but we'll see how that continues to play out. And as Mark said, I don't think you'll see meaningful impact from the fourth quarter.
Brooke Roach: Great. Thank you so much. I will pass it on.
Operator: Thank you. Next question will be from Mark Altschwager at Baird. Please go ahead, Mark.
Mark Altschwager: Good afternoon. Thank you for taking my question. Just first, with respect to the guidance, you're holding the low end, bringing down the high end. Just talk us through the thought process there, and are you assuming that the October comp trend you're seeing continues through the balance of the quarter? Just overall, what's giving you confidence in that lower end?
Michael Maher: Yes. Thanks Mark. I mean, really, the narrowing to the lower half essentially is just a reflection of the way the third quarter played out. As I mentioned in my prepared remarks, we had – the U.S. was pretty much in line with the trend we've seen for most of the year and squarely in the middle of our expectations. Canada a little bit on the softer end. So as we think about going forward into the fourth quarter, we are not – first of all let me just start with the macro assumptions, we're not assuming any significant change in macro conditions in either the U.S. or Canada in the fourth quarter. At this stage with less than two months left, that seems like a reasonable assumption to us. At this point, the range of possible outcomes that we've contemplated there reflects a pretty narrow range for the U.S. We've very consistently seen low single-digit comp growth in the U.S. all year long and across geographies, and that's what we're assuming will continue in the fourth quarter. Really, at this stage, the open question, the variability in the range is Canada. We think we could be down anywhere from low single-digits to mid single-digits in the fourth quarter. And the way I would describe that is on the low end, it would be more or less consistent with the third quarter trend. I mean, remember, we did have a 100-basis point impact from the holiday shift. But if you normalize for that, the low end assumes we really don't see much improvement whether from any of the efforts that Mark described, selection, pricing, the slightly easier comparisons versus last year. And the higher end assumes that we do see something from that. And I think we're encouraged by the trajectory. We certainly exited the quarter on a better trend than we started it. And thus far that has continued into the fourth quarter.
Mark Altschwager: Very helpful. Thank you. And then just a follow-up on the production and inventory flow topic. For Canada, you mentioned that you pulled back perhaps too much. There wasn't enough newness and then you ramped it back up. What data or signals are you using to manage that kind of on the week-to-week, month-to-month basis? And I guess the learning there would maybe seem to imply a limit to the margin flexibility. So I guess how should we think about that? I guess what is the baseline comp that is needed to hold four-wall gross margin flat given that there's this minimum labor investment to kind of feed that newness on the floor? Thank you.
Jubran Tanious: Yes. Hey Mark, this is Jubran. It's a great question. As Mark and Michael talked about, yes, selection is a critical component of the value proposition. By selection, I'm referring to the sheer number of items that a store might put to their floor in a week. So yes, we think we pulled back a little bit too hard in Canada. We've since readjusted. It's always a balance, right, between preserving and protecting profitability and then ensuring a steady flow of fresh product for the customer. And we do our best to match supply and demand in that way like any manufacturing operation would. But yes, it's true. We can modulate production, but to your question, within a certain control limit, right, say, plus or minus a few points. And I think we've really appreciated that over the last quarter. I would also say to your point of what do we index to, we look at transaction volumes in the store. And we try to match where we think transaction volumes and transaction comps are going with a number of items that are going to the sales floor. So I think as we go forward, we have raised production levels in Canada. I think we think about it in terms of going forward a much more gradual flexing of production levels over longer time frames, right? One or two weeks does not a trend make in what I'm describing and the number of items that hit a floor per transaction. So as we go forward, we're thinking about this more in terms of we will always look to manipulate and optimize production levels, but doing that in a more gradual way and over a longer time frame, if that makes sense.
Mark Altschwager: That does. Thank you for all the detail.
Operator: Thank you. Next question will be from Bob Drbul at Guggenheim. Please go ahead, Bob.
Bob Drbul: Hi. Good afternoon. If I could just focus a little more on the – some of the discussion around the new store economics, just as you continue to open stores and you go for 30 next year, just in terms of the paybacks or the new store investments, like any other sort of numbers you can share with us just around what you're seeing? I know they seem to be performing pretty well, but it would be helpful if we could get a little bit more of the framework around some of these? Thanks.
Michael Maher: Hi Bob, it's Michael. Sure, happy to talk to economics. And then maybe I'll let Jubran just talk a little bit about more specifically the recent performance of our new store class. So as we've talked about before, and as I mentioned earlier, when we open a new store, typically in the first year, it does roughly half the volume that it will do when it reaches maturity, which we define as about year five. And so because of that, and we've got some fixed costs that we're not yet leveraging and our production, we're not fully up to a mature store level of productivity on production and sales yield on that, we typically see new stores lose money in the first year. But they grow quickly on the top line, and we're typically profitable by the second year. And so over the course of the life of the store, as we see that growth play out and the store quickly becomes cash flow-positive, we're generating very healthy returns. We're seeing returns typically around double or better our cost of capital. So, but the implications to our EBITDA and our EBITDA margins in the near term, I think is the gist of your question is it's a headwind. And especially as we're starting from the place we're in today where we really haven't had anywhere near the level of new store openings that we're now about to embark on – that we are embarking on here in 2024 and that we expect to accelerate into 2025, what that means is that we've got a significant number of new stores that are still in that year one point where they're not profitable. And we don't yet have a critical mass of stores that are in their second or third years generating better-than-average comps and quickly growing their bottom lines. So that's especially pronounced that impact on the back half here of 2024 as we're opening 18 of our 22 new stores this year in the back half. And then going into 2025, where we'll open up to 30 more new stores. But as those stores work their way up the maturity curve and enter their second years, that's going to start becoming a tailwind. And I'll use the 2023 class as a good example of that. We opened those in 2023. They're not yet comp stores by our definition, they will be next year. They're maturing exactly as we would like. In fact, we're very pleased with those, and Jubran can speak to that. But they're profitable. That group is profitable now both countries, all but one or two of the stores in that group individually are profitable. And so the class as a whole is profitable as well, and so that's the dynamic that we expect to play out on our future cohorts as well.
Jubran Tanious: And Bob, Jubran here. I'll just add on to what Michael said that, obviously, pleased with how the new stores are performing in the aggregate, both top line and bottom line. But also pleased that our predictive model that we use and we approved and sign a lease for any new store is showing that no model is perfect, but it's been pretty close to the pin. And that really gives us confidence as we look to find good deals, accelerate and do them quickly, because, again the pipeline is growing. Any new deals that we have flowing at this stage of the game are we're talking about early 2026 now. So we're starting to fill up the pipeline for early 2026 stores. I think we've mentioned in the past that we were back-loaded on new stores opening this year, right, with the preponderance of them in Q3 and Q4. But now we are in a steady state where we expect new store openings within reason to feather across the quarters from here on out, certainly, across 2025 in a more balanced way. And that just makes things a lot easier for the team; helps ensure execution, all the things that we would expect.
Bob Drbul: Great. Thank you. Good luck.
Mark Walsh: Thanks Bob.
Operator: Next question will be from Randy Konik at Jefferies. Please go ahead, Randy.
Randy Konik: Yes. Hey, a quick clarification item. Can you just give me the percent increase in on-site and GreenDrop donations during the quarter? And then what percent of total pounds were processed in the quarter?
Michael Maher: Sorry, Randy, what was the second part of your question there?
Randy Konik: The percent of the total pounds that came in that you guys processed through GreenDrop.
Michael Maher: Through GreenDrop, you mean through on-site donations?
Randy Konik: Yes. Yes, sorry.
Mark Walsh: Through on-site donations.
Randy Konik: Versus getting from a third-party for delivery, yes.
Michael Maher: Got you. Yes. So we're north of 75% on that, Randy. I'll get you the specific percentages on that.
Jubran Tanious: Randy, what I will say is on-site donations as a percentage of our total processing continues to be very robust. I think Michael is right. We'll get the exact percentage on that. What we do know is that on-site donations continue to comp positive across the fleet. Now there's weeks here and there store by store. But in general, we are seeing pretty robust growth in on-site donation comps.
Michael Maher: Yes. So Randy, just to give you the exact number on that, just shy of 80% was on-site donations and GreenDrop combined. And that's up from around 78% last year.
Randy Konik: All right. So that metric continues to grow. It's good.
Mark Walsh: Yes.
Randy Konik: And then can you just kind of, I might have missed it because I jumped on late here. Just did you talk about kind of the actions you're trying to take to mitigate kind of the macro difficulties in Canada? Like what steps are you trying to kind of – what are you looking at to try to change, maybe drive more traffic? What are you doing up there? Just to give us more of a flavor that you may not have covered already? Thanks.
Mark Walsh: Thanks, Randy. We did cover that. Happy to quickly go over it, and if I eliminate some of the detail, so not to be repetitive we can catch up with you secondary. Look, we completed five significant promotional and pricing strategy tests over the last six months with the most promising result being strategic price reductions by category and grade. Along and in tandem with those tests, we have invested in some new tools and processes to monitor our consumer proposition relative to perceived price value versus the competitive set. We don't think wholesale changes to price points are warranted, but it's important. We have identified and executed in the test very targeted changes in select categories and grades where we felt competitive pressure. And as I stated earlier, we're encouraged by these results. And as we roll out this further in Canada, and we're going to roll out these tools and these processes throughout North America, we'll be adopting this approach in North America in early 2025 throughout the entire North American fleet. And I can fill in some details for you separately, but I don't want to repeat a lot of the stuff we said already.
Randy Konik: Awesome. Thanks so much. Thanks guys,
Operator: Thank you. Next question will be from Peter Keith at Piper Sandler. Please go ahead, Peter.
Peter Keith: Hi. Thanks. Good evening. So Michael, maybe on the gross margin pressure for the quarter, I was hoping you could quantify the pressure that you're seeing from the new stores because it's coming across very clear that this is going to remain a pretty consistent headwind for at least the next year. So I guess if you could break it out, it would help us to put that in our models properly?
Michael Maher: Yes. It's – I mean, I'd say, Peter, it's pretty consistent, roughly equal between those two factors of new stores and deleverage on the lower comps.
Peter Keith: Okay. Very helpful. And then, Mark, maybe for you, just on the Canada backdrop, maybe I just need a little bit of handholding here that if you've done any research on the economy there, other retailers seeing pressure because we're just not seeing other retailers call out big Canada weakness. I know there's some Canadian retail sales for apparel and those that's run positive in recent months. So what are you guys seeing that sort of makes you feel like it is macro and not company-specific?
Mark Walsh: Well, okay, let's start – we'll start with some economic facts that we're seeing. We know there are a lot of macro pressures in Canada, unemployment that Michael mentioned, housing crisis, certainly. And as reported by Statistics Canada, apparel sales are down in Canada every single month this year as reported by the Canadian government. So year-to-date, we seem to be holding our own versus the broader market. Again, that said, we're not terribly pleased with our results given our comp performance. So as we think about who is that Value Village consumer in Canada, look, it's a broad cross section of the consumer landscape. We are highly penetrated, 90% brand awareness. We estimate we're in one in three households. But we've done some work and third-party surveys for shoppers, especially are coming under greater financial stress. And while we're seeing modest trade-down in our environment as higher income households as a percent of our total customer base has risen, that has been more than offset by a pullback in lower household demographic. And just as a reminder, over 20% of our consumers live below the poverty line. So they're making trade-offs on necessities and we think really they're sidelined. So ultimately, what we're seeing from a loyalty base and from a non-loyalty base is frequency has declined. Attrition has actually been very stable and low. So we feel good about our long-term outlook because we have not seen people attris [ph], but we have seen frequency decline. So we're not expecting material improvement in Canada in the near-term. Some economists are projecting some modest improvement in 2025. We will continue to watch unemployment, household debt, consumer spending data, and our own loyalty and survey data until then we're trying to control what we can control, and taking a more cautious approach to planning. We're certainly looking to increase innovation and operational effectiveness to be ready for that economic improvement and take advantage of that long term. I think in terms of our long-term perspective, especially when it comes to new stores, we've always planned to pivot growth to the U.S. versus Canada. And I think the current macro situation is reinforcing this. So as we think about new stores in 2025, they will be much more heavily weighted to the U.S. than they are to Canada. Hopefully, that answers some or most of your question.
Peter Keith: Got it. Yes, it does. Thank you very much.
Operator: Thank you. Next question will be from Michael Lasser at UBS. Please go ahead, Michael. Your line is open, Michael, please go ahead.
Sachin Verma: Good evening. This is Sachin Verma on the line for Michael Lasser. Thank you for taking our question. We wanted to know, given the softening top line throughout the year and this quarter's current performance, what actions would you need to take in the business beyond the near-term strategies in Canada to bridge the gap between this quarter and your long-term algorithm? Thank you.
Michael Maher: Yes. I think, obviously, the biggest gap, I think, as you describe it, would be the macroeconomic environment in Canada and our comp performance there. And Mark laid out some of the factors that we think are in our control that can influence that and improve that and in fact so far we’ve already seen some measurable improvement in Canada over the last few months from our efforts in selection alone. So our exit rate into the quarter and entering the fourth is certainly better than our third quarter comp. But we will continue to strive to get that balance right. We're going to continue to work on the price value equation, as Mark described that, and I think the economic cycle will eventually as will and that will sort of bridge the gap from a comp store basis. So I think as we've described, our long-term comp algorithm is for low-single-digits. The biggest strategic shift from that to our long-term outlook is really about new store growth. So we opened 12 last years, 22 this year and we're now tracking to 25 to 30 next year. And that puts us on a trajectory for five single-digit total revenue growth over the long term. And so – and we're very pleased with the results of our new store openings. So I think the combination of accelerating new store growth, which we're already doing and then seeing some comp store trend improvements primarily in Canada are really what we're looking to going forward.
Sachin Verma: Thank you. The follow-up is, given the trends that you've seen with the processing improving later, how do you expect this to stabilize? In other words, what actions are you taking to calibrate the level of processing to align optimally? Thank you.
Jubran Tanious: Yes, this is Jubran. Again, I think it comes back to matching it to transaction volume and then being very mindful and gradual about changes in production level, right? So again, not manipulating in a severe way production levels just because we see a transaction dip in Canada or any other country over the course of a week or two. So being gradual, being mindful about that is really the approach. And again, as I mentioned earlier, it's one of the great levers we have, but it's within a few points of center is how we think about it, right? We're not going to be able to react to something that is way off center nor do we want to if we're talking about what we think is a short-term dip. So I think going forward, that puts us in a much more stable place. And that's absolutely appropriate as we think about the future.
Operator: Did you have additional questions?
Sachin Verma: No. Thank you.
Operator: Thank you. [Operator Instructions] Next, we'll hear from Anthony Chukumba at Loop Capital Markets. Please go ahead, Anthony.
Anthony Chukumba: Good morning, sorry, good evening, and thanks for taking my questions. So certainly understand that there's always sort of a balancing act between processing, particularly when top line is slowing down and trying to control costs, but also making sure you're offering enough assortment. Would love to just – if you could sort of dimensionalize even kind of directionally like how much you slowed down the processing in Canada, where are you and midway sort of went too far and then how much you sort of turn this [indiscernible] back on which I think like, lead to an improvement at least sequentially in terms of your top line? Thanks.
Jubran Tanious: Yes. Anthony, its Jubran. It's a good question. The first thing that I would say is we never look at it in aggregate, right? When we look at matching the appropriate production level to the transaction trend that we're seeing, it's always on a store-by-store basis, that's the first thing. And it has to be that way, right, to be appropriate for those four walls. The second thing is determining when do we have a trend, right? And you think about all sorts of factors, timing of support checks from the government, weather anomalies. And there's a number of things that can cause noise. Si I think some of this is when you look at it retrospectively, it's a little bit easier to see. And again, as both Mark and Michael mentioned, when we readjusted, we increased production level on a number of stores, while we thought we have gone too far, we saw an immediate reaction to that. And that really is sort of a control and variable, that's what told us that probably went too far on this. So look, I think it's instructive. How far off of where we should have been were we to your question, it's a very difficult question to answer. I don't know. I would be guessing, and I don't want to do that. But clearly, when we restored it, it snapped back. And so then the obvious question, well, then can you feed it even more? Well, then you start to tip the other way on the balance scale where you're really starting to erode margin and the amount of demand and transactions that you have don't warrant that level of production. I would tell you, over the long-term, Anthony, what we expect, and we're watching it closely, is that over time production levels in aggregate, continue to go up to the right to feed transaction volume that goes up into the right. But it's absolutely a multi-variable equation. And we just want to make sure that we're not banging wildly from guardrail to guardrail on this.
Anthony Chukumba: Got it. Fair enough. And then just one quick follow-up. Any – I know it's still early, but any updates in terms of the 2 Peaches acquisition integration?
Jubran Tanious: Yes. Great question. So just as a reminder, we acquired 2 Peaches just about six months ago. This is a seven-store chain in the Greater Atlanta market, Georgia. And look, our thesis going into that was that these stores have a lot of opportunity. So of the seven stores, we have, over the last six months, converted two of the seven stores. And by convert, I mean, put on to the Savers model of how we show up to the customer. And that – tactically, that means production levels, merchandising techniques, selection and floor turned calibrating space to sales, a whole host of tactics. And the great news is that we are seeing significant double-digit comp sales growth in both of those locations, so pleased with that. Again, we choose two first to understand what the road map should look like for conversion of the remaining five. And I would say, based on what we've learned, we feel great about it over the coming 12 to 18 months, we look to convert the rest of them. And then build out upon that with some of the new store growth that Michael talked about earlier, where we're opening new stores and lots of infill markets. We see the U.S. Southeast as an opportunity to infill in that market and beyond as we go forward.
Anthony Chukumba: That's helpful. Thank you.
Mark Walsh: Thanks Anthony.
Operator: And at this time, Mr. Walsh, we have no other questions registered, sir. Please proceed.
Mark Walsh: I'd like to thank everyone for their time this afternoon and interest in Savers Value Village, and we certainly look forward to speaking with many of you in the days and weeks to come. Thank you, again.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.